Operator: Ladies and gentlemen, good day, and welcome to City Union Bank Q2 FY '23-'24 Earnings Conference Call hosted by AMBIT Capital. [Operator Instructions] Please note that this conference is being recorded. 
 I now hand the conference over to Mr. Prabal Gandhi from AMBIT Capital. Thank you, and over to you, sir. 
Prabal Gandhi: Thank you, Saber. On behalf of AMBIT Capital, I once again welcome you all for City Union Bank's Second Quarter Earnings Call. From the management side, we have Dr. N. Kamakodi, MD and CEO; and Mr. J. Sadagopan, CFO. 
 Without further ado, I'll hand over the call to Dr. Kamakodi for his opening remarks, post which we can open the floor for Q&A. Thank you, and over to you. 
N. V. Kamakodi: Good evening, everyone. Dr. Kamakodi here. Happy, welcome to all of you for this con call to discuss the unaudited financial results of City Union Bank for the second quarter and the first half year ended 30th September 2023. The Board approved the results today, and I assume you all have received the copies of the results and the presentation.  
 During March '23 and June '23 con calls, we have shared with you all some of the expectations as follows for the financial year '23-'24, that we are aiming for 12 to 15 percentage growth for the financial year '24, which should be skewed towards the year-end. We hope to close the financial year '24 with ROA of 1.3 percentage, for which NPA recovery will be a major contributing factor.  
 In the absence of treasury profit opportunities in the increasing interest rate scenario, the cost-to-income ratio will be in the range of 42 to 45 percentage. We expect the NIM pressure and expect the NIM at current level plus or minus 10 basis points. 
 Things are happening almost on the expected lines and even getting better in some of the aspects. We have seen about INR 1,280 crores or 3 percentage credit growth during the second quarter 2024. The soft launch of the digital process for the MSME lending below INR 3 crores has started. The project executed by the Newgen Software team and coordinated by BCG is on track. We hope to achieve the number we shared with you during the year-end, particularly for the credit disbursement and growth as we move forward.  
 We closed the second quarter financial year '24 with the profit after tax of INR 281 crores compared to INR 276 crores in the second quarter financial year '23. In fact, if you remember, we had the highest profit after tax of INR 276 crores in the second quarter last year. After that, we had some moderation in the subsequent 3 quarters. This quarter, like I said, the overall, we could have INR 281 crores profit as we had already shared with you all. 
 The ROA for the second quarter of financial year '23-'24 is 1.69 percentage compared to 1.4 percentage in the first quarter financial year '24 and the same ROA was 1.46 percentage for the whole year financial year '23. As you all know, we typically used to have 1.5 percentage plus during the pre-COVID year. In the financial year '20, we had 1 percentage with the ROA and reversed over and above that as the COVID provision. And sequentially, it increased to 1.15, 1.3 percentage and 1.4 percentage in the subsequent years. In this quarter, we have 1.69 percentage ROA. 
 We closed the first half financial year '24 with the profit after tax of INR 508 crores and hope to cross 4-digit profit after tax figure for the full year financial year '24 for the first time. As we discussed, whatever profit we have discussed in the current quarter is highest ever profit what the bank has declared so far in its 120 years of progress.
 We hope to achieve this figure despite having headwinds in the operating profit. This is mainly due to the positive contribution from the credit cost. Our slippage ratio for the Q2 has come down to 2.06, almost equal to the pre-COVID level. Our absolute slippage number for the Q2 FY '24 is INR 225 crores, while the total recoveries made is INR 229 crores -- INR 299 crores, comprising of INR 230 crores from the live NPA accounts and INR 61 crores from the recovery from the technically written-off accounts. For the first time in the recent past, live recovery has surpassed the live slippage, and we expect this trend to continue as we move forward.
 The net NPA has come down below INR 1,000 crore mark after many quarters. And the overall SMA 2 numbers to the total advances as on 30th September 2023 stands at 2.05 percentage, which reduced from 2.43 percentage in the first quarter financial year '24, that is June quarter. 
 We also wish to inform you that the RBI inspection for the position as on 31st March 2023 was completed. And there is no requirement of disclosure with respect to the divergence and asset classification or provisioning as per the exact guidelines as given in the results.
 In fact, last year, in the third and fourth quarter, we had some issues which pulled down some profitability going forward. But now, this year is over, and we don't have -- we don't -- we need not make any disclosure as per the -- to extend the deadline. 
 So sum up, we are finally into a phase where NPA slippages have come down significantly. And the NPA recoveries have started surpassing the slippages. Hence, going forward, we will see substantial reduction in the credit cost and reduction in the NPA getting back to the pre-COVID level, which will reduce the provisions required substantially and take care of the profit after tax.  
 The soft launch of digital lending products have started, which is expected to help us achieving improved credit growth in the second half, as we discussed in the earlier con calls, to achieve double-digit credit growth for the whole year. Both the projects are executed by the Newgen Software team and coordination done by the BCG, and the entire project is on track, which should be helping us to achieve better growth as we move forward.
 ROAs are back to 1.5 percentage plus, which used to be our [indiscernible] and net interest margin is also at the range we shared with you all in the earlier quarters. And for the current quarter, it is currently standing at 3.74%.  
 Despite the headwinds in the growth, we should be closing the financial year '24 with a 4-digit PAT, a substantial reduction in the net NPA, and ROA around long-term average of 1.3 percentage plus.  
 Overall, except growth, if you remember, pre-COVID, we had a positive progress in all parameters like growth, net interest margin, ROA and things like that, and there were certain setbacks after the onset of COVID, particularly on the slippage ratio and also moderation in the growth. 
 As we explained, we have taken our legs off the growth pedal way back in financial year 2020. And we continued our growth with the gold loan, but there were -- because of certain regulatory observations, we had to stop the agri gold loan KCC product, which became sort of headwind to our growth, and also the growth in the other core sector has also started, showing some amount of progress and which should be improving from now onwards, particularly with the arrival of our the digital lending platform and all. 
 Overall, things are aligning with our long-term progress, and the progress is visible, and we will be able to show the PAT growth by saving the credit cost up to this year. And once the growth also pick up as we are able to see that, everything -- all parameters should be getting back to our long-term benchmarks, which we had set over a longer period of time.  Overall, things are settling well, and we hope things will improve from where we are moving -- going forward. 
 With these opening remarks, I open the floor for questions and discussion. 
Operator: [Operator Instructions] The first question is from the line of Rohan Mandora from Equirus Securities. 
Rohan Mandora: Congrats on the improved set of numbers. Sir, firstly, in terms of the upgrades that we have seen this quarter, if you can share some color on which segments are they coming and when did this account slip? 
N. V. Kamakodi: Yes. In fact, we had discussed during the, what you call, last con call itself. The -- basically, like we had process of like whenever an account upgrades before the release of the, what you call, quarterly numbers, we used to effectively take that on the -- our collections. But after that, we discussed that now there are certain observations, right, during the inspection, which we had stopped, and we have also given a number even at that point of time where the upgradation of account. 
 It is basically all round, across the sectors. The largest one being upgradation from about INR 19 crores from, what you call a resort which started seeing improvement in the collection. The second one came from the, what you call, a contractor for the Government of Tamil Nadu, who received the payment subsequent to the quarter end, which was pending for him.  
 So we had -- the third one was from the fishing side, where the recoveries came and the account got upgraded.  Like that, the composition of the upgraded accounts are from the various sectors and various type of accounts, and you don't have any specific sector or any specific and all. This is basically due to the delay in the receivable, which happened from the sectors like government and other sectors, which got released. After receipt, these accounts got upgraded. 
Rohan Mandora: And sir, secondly, on the PCR, despite we having contained provisioning line item for this quarter, we have not increased the PCR. It's showing on the 50%, 51% mark. So will we remain comfortable at this level? Or over the next 2 years, we will see some increase on the PCR levels? And what was the credit cost finance for FY '24? 
N. V. Kamakodi: Yes. Basically, we have explained multiple times in the earlier con calls. Our average recovery for the portfolio level is if INR 100 slips, we recover about INR 65 to INR 70. So anything about INR 35, INR 40 provisioning is something which is not required based on our track record because of collateral available and liquidation of the collateral. So we always keep about -- that is our requirement basically.  
 So the 70 percentage coverage ratio's something which came once upon a time and which got repeatedly asked. So we thought okay we will improve it to 70 percentage, and we don't expect any major significant improvement in the coverage ratio because we don't think we need extra provision coverage ratio as we have collateral, and this coverage ratio is, by and large, aligning with our arrival of the recoveries that are happening on one side.  
 And another side -- I mean, you have to understand me correctly. On the other side, we want to get to the net NPL level. I mean our focus is more on the net NPL number and not specifically on the coverage ratio. So we -- with the current trend, we expect we had about 1.15 to 2 percentage -- less than 2 percentage net NPA for the financial year '19 or so, pre-COVID. 
 We expect we should be getting back to that number and probably, reduced net NPA number as we move forward, which we will be comfortable perhaps between 1 and 1.5 percentage as we move forward. When that happens, the coverage ratio may automatically improve as a byproduct. So this is our approach for the coverage ratio to -- which we have been communicating for quite some time. 
Rohan Mandora: Got it, sir. And any specific number for credit cost guidance for this year? 
N. V. Kamakodi: As we have seen incrementally when the recoveries are more than the slippages, the incremental -- net incremental provisions required automatically comes down. So we will require -- so as to reduce our net NPA to get it closer to the pre-COVID level and you can do your math accordingly. 
Rohan Mandora: And sir, lastly, there's been an increase in yield this quarter. So if you can just point here what was the benefit coming in from the interest reversals? And was there any other reasons for the increase in the yields, yields on advances? 
N. V. Kamakodi: So basically, there was incremental pass-on of rate somewhere in the middle to end of the first quarter. The whole effect has come only in the [indiscernible] incremental yield. 
Operator: [Operator Instructions] The next question is from the line of Nilesh Jethani from Bank of India Mutual Funds. 
Nilesh Jethani: My first question was on a macro level, some -- a lot of the peers are talking about the stress they are facing in the MSME side. What is our outlook on that same? 
N. V. Kamakodi: See, basically, 2 dichotomous observations we are seeing on the ground. The first part is, all of them have come out of the issues and particularly the stress during the COVID and almost all the MSMEs, who are surviving, are doing extremely well with good cash flows and having their head above the water. The asset quality issues have, by and large, subsided and things are on track. 
 On the other side, if you look into the growth per se coming from this particular segment, we are not seeing like in the previous cycle, or yet to see the capacity expansion or investment cycle to pick up. And the bulk of the investment that are coming now are maybe things like, say, going for renewable energy like solar or something like that, things are happening. We are seeing quite a good number of people going for that. 
 But at the same time, we are not seeing similar to whatever we could see in a huge number in the earlier cycles when the capacity utilization reaches such a high number so that they need to go for capacity expansion and going for the buildup of production and all. We are waiting for that and yet to see that happening in a big way. 
Nilesh Jethani: Got it. And internally, considering the credit cycle and the NPA cycle we are in, at what levels of NPA, both GNPA, NNPA or credit cost, we would press the pedal as far as growth is concerned on the credit side. So one is the external issue you explained you're not seeing it, but internally when will we press the pedal for the growth. 
N. V. Kamakodi: Yes. Can you repeat the question and come closer to the mic, please? I'm not able to understand your question properly. 
Nilesh Jethani: I'm asking, one is the external reason you said that there is external issue with regards to growth in the MSME. But internally at what GNPA levels or at what provision numbers we would press the pedal for the growth? 
N. V. Kamakodi: See, our -- as I told you, our slippage ratio pre-COVID for multiple years used to be between 2 and 2.5 to closing advances. During the -- for financial year '21 and '22 and all, it increased to about 3 to 3.5 percentage. Our bank, if you have observed, most of our peers and the banking sector per se, there even the sector NPA numbers were peaked at even double-digit and all, particularly after the AQR corporate lending, consortium and things like that. 
 So after 2018 and all, most of them were busy in cleaning up their books and things like that. But even when the -- our slippage ratio increased, our gross NPA peak in this cycle has not crossed about 5.7 percentage or something like that. And net NPA was at about 3.5, 3.6 and all. We were able to have the slippage ratio basically getting at that level. But there were problems during the COVID because of the recoveries not happening because the DRPs and courts were not functioning and there were some slippages.  
 Now we could clearly see in the -- even in the current quarter and whatever visibility we see. And also the SMA numbers during pre-COVID, which we used to have about 6 to 7 percentage and have about 2 to 2.5 percentage of slippage, the SMA 2 numbers have come around 2 percentage and all, which is where we could see substantial improvement in the, what you call, stress level and all has come down to a greater extent.  
 As we told, the -- if INR 100 slips at an average, we recover about INR 60 to INR 70, maybe around. Because of that, we don't see the requirement of incremental provisions just for taking care of the losses, not more than 40 percentage. But our coverage ratio is at 70 percentage. And the current recoveries have started -- live recoveries have started, our total recoveries have started superseding the slippages and that is what we foresee for the next multiple quarters.  
 Honestly speaking, the incremental provision ratio, we see -- we should be seeing a very drastic reduction. And we have our own internal target of getting our net NPA to pre-COVID level first and then see. Our comfort zone had been between 1 to 1.5 percentage, which we should be achieving over the next few quarters. This is the current status now. 
Nilesh Jethani: So will this translate into we pressing the pedal on the growth if you are expecting this number to come down? So can you also press for the growth going ahead? 
N. V. Kamakodi: Yes. We have already started tuning ourselves for the growth. As expected in the -- as we shared with you all during the earlier quarter con calls, our growth will be skewed in the second half. Already, we have about 2 to 3 percentage quarterly growth in this second quarter. And the -- one of the major thing what we need is the introduction of the digital lending process for which the soft launching has already started. So the -- whatever growth expectation we shared, we are working overtime to achieve them and putting everything in the proper perspective for achieving those numbers. 
Operator: The next question is from the line of Anand Dama from Emkay Global. 
Anand Dama: Sir, my question is on the margins. Earlier on, basically, you had said that RBI had an observation on the MCLR. And add to that, there was some [ interest ] derecognition because of the subvention on the farm loans, et cetera. So any update over there? 
N. V. Kamakodi: We have written to RBI and waiting for their numbers. As -- I mean, waiting for that -- their -- made a representation for which we are awaiting the results. As we told during the -- around the same time, I mean, a couple of quarters back, we are not recognizing that whatever income that normally will be done because of that observation and all, we are not recognizing that. 
 And basically, some amount of transfer of yield has happened, and that's why like somebody asked there's marginal improvement in the yield also. And another thing, our current credit deposit ratio is about 4, 5 percentage below whatever we used to operate during the pre-COVID level because of which also a few basis points here and there we had to compromise.  
 So with this, as we said in the last con call, our overall average NIM should be plus or minus 10 percentage with the existing NIM. The same numbers, we are able to see in the second quarter also. 
Anand Dama: Sir, is it possible to basically share the unrecognized interest income? 
N. V. Kamakodi: We have given in the, I think, fourth quarter or so it was about INR 20 crores, INR 30 crores -- about INR 20-odd crores. 
Anand Dama: Okay. So in first and second quarter, there won't be any addition to that unrecognized interest pointed out? 
N. V. Kamakodi: No. See, because normally, this product will get over in 1 year. And we stopped recognizing that income once it was pointed out, as explained in one of the earlier con calls. 
Anand Dama: Sure. Sir, secondly, now basically you would have seen that Uday Kotak has got a Board position. And basically, we also had a question long back that, basically, you will have to step down as an MD and CEO. Sir, whether you would look at position in the Board post your retirement from as an MD and CEO? 
N. V. Kamakodi: See, we -- I have, in fact, shared with you all in the earlier con calls, Board has already appointed a subcommittee. So the subcommittee has started exploring the potential candidates. We feel -- and you've also -- you have seen that RBI yesterday or day before yesterday announced that every bank should have at least 1 whole-time director apart from the MD and CEO. We expected this and that's why we made required changes in the articles and all in the last AGM. 
 So our plan is to, in the next 4, 5 months, the upper limit given by the regulation is about 4 months, keeping that into mind also, shortlisting that, onboarding them, who should work with the -- with us for the remaining period so that there is a smoother handover, takeover when the term ends. So the process has got initiated, which we communicated to the market in the last quarter itself. 
Anand Dama: But you can still look for a Board position, right, in the Board if you retire as an MD and CEO? 
N. V. Kamakodi: Pardon? 
Anand Dama: You can still look for yourselves as a Board position in the way basically Uday Kotak has taken a Board position in the bank. 
N. V. Kamakodi: You have another 2 years, Anand. So if -- I can't say anything. See, let us wait for things to settle and there are many more things need to happen before I answer this question. 
Anand Dama: Sure. Sir, third, on the PCR front, you said that, basically, you believe that the specific PCR that you maintain is reasonable enough, but we are seeing something similar in case of another bank, which is AU, where they were saying that they were maintaining separate PCR as per the requirement, but then it changed. Like RBI has been basically -- they have increased now the PCR more than 70%. Instead of getting into that situation where RBI comes in, is it fair basically to start increasing the PCR on our own and build some buffers in place? 
N. V. Kamakodi: See, the -- in fact, as I told you, we have targets internal thing for the net NPA. When we reduced the net NPA portion, automatically the coverage ratio also increases. These things are interlinked. And you don't have any specific -- like say, you have one circular which talks about 70 percentage in the past. So over and above that, we will wait and see. 
 Our strategy has been, as I told you, by the end of the current year, we should be getting back to the net NPA level of 1.5 to 2 percentage, which had been the pre-COVID net NPA, and we will be comfortable with 1 to 1.5 percentage on an ongoing basis. To that extent, the flow and steady provisioning will take care of that as the -- we expect the recoveries to overtake the slippages. 
Anand Dama: Sure. And sir, your guidance of 8 to 10 -- I mean 10-odd percent kind of a loan growth stand for full year? 
N. V. Kamakodi: Still it stands, and we are working for that. 
Operator: The next question is from the line of Neel Mehta from Investec. 
Neel Mehta: My first question was on employee cost. What is the reason for the 20% Q-o-Q increase in our employee cost for this quarter? 
N. V. Kamakodi: Actually, we have the -- both in terms of -- between first quarter and the second quarter, the annual increment kicks off from the, what we call, 1st of July. So sequentially, you have that thing. And first half to first half it is 6 percentage increase. 
Neel Mehta: Okay. Okay. Fair enough. And sir, secondly, more of an accounting question. In terms of recoveries, do we net it off from provisions when we recognize credit cost? Or do we recognize it as other income in our P&L? 
N. V. Kamakodi: No. Basically, if the account is written off, it is considered as an income. But if an account gets upgraded or collected from the -- like a live account, it gets shifted from one account to another account. 
Neel Mehta: And in that case, if it is a live account that has not been completely written off, you will recognize it as net of credit cost, right? 
N. V. Kamakodi: Yes. Whatever loss we incur, that will be knocked off from the provision made and the balance provision will be going to some other account. 
Neel Mehta: Got it, sir. Got it.  And sir, last question on LCR. What would be the LCR level for our bank this quarter? 
N. V. Kamakodi: It's as usual. The exact number will be given. Close to about 200 percentage is what we are maintaining, which is -- which will be available in your -- I mean, that is our usual number, and that number will be available in the -- we'll be uploading in the website soon. 
Operator: [Operator Instructions] The next question is from the line of Mr. Rakesh Kumar from B&K Securities. 
Rakesh Kumar: Very strong set of performance. Sir, just one question I had with respect to the BCG thing. So how are we placed there, how the progress is taking place on that front? And when we are planning to get done with that exercise? 
N. V. Kamakodi: Basically, the -- as I told during my opening remarks, the actual software is made by a company called Newgen, and the support and other coordination and other, what we call, the consulting part is taken care by the BCG. So we are -- the first product, as I said, for the MSME loans less than INR 3 crores, all the soft launch of the product is already on. And maybe for next 10, 15 days, it will be used for select branches. And after any bugs -- if at all anything is there after correction, by the, let's say, maybe the second half of November, it should be made available to all the branches. 
 Next, other products whatever we have to slowly -- for all these things, they have already prepared source models, all these things and all are already given and they are being now in the soft launch part. The next set of things in the next 2, 3 quarters -- 2, 3 months -- 2, 3 weeks, we should be getting that INR 3 crore to INR 4 crore MSMEs and then the retail part, then renewal part. One by one, they will be giving. 
 So overall, everything should be set up and running fully by the third quarter end. And when we probably meet during the third quarter con call, things should be up and running. Maybe -- 1 or 2 maybe on the soft launch and everything should be on open to -- I mean, full launch by when we speak during the third quarter results is the expectation. And the progress so far is giving me confidence that we should be able to achieve those deadlines, that is what I'm made to understand and we are monitoring the progress pretty closely. 
Rakesh Kumar: Very good. Very good, sir. So I believe, sir, post this transition, certainly the turnaround time that we have now and what we would have been, it would be like quite drastic change would be there in the turnaround time for the -- especially for the MSME customer, I think? 
N. V. Kamakodi: Yes. That is the expectation, and that is the main purpose of this entire exercise. And hope we should be able to see them giving a full positive results in the second half, as we had discussed with you all. 
Operator: The next question is from the line of Jai Mundhra from ICICI Securities. 
Jai Prakash Mundhra: Congratulations on good quarter. Sir, continuing from the previous question, just to understand it properly, the LOS implementation across all products at the bank level should be over by, let's say, early January next year, right? 
N. V. Kamakodi: Yes. Hopefully, that is the time line with which we are moving forward. When we meet for the third quarter results somewhere in the end of January, at least 50 to 60 percentage of the products should be into full production throttle and the remaining 1/3 maybe in the soft launch or they should have also started giving results. 
Jai Prakash Mundhra: Okay. And sir, does this LOS implementation in any way changes the usual growth trajectory -- I mean usual growth pattern of the bank that usually we have that first quarter there is a Q-o-Q date, second quarter is where -- and the September number is similar to March, and then third quarter there is an uptick, and fourth quarter is where the growth comes. Do you see that this LOS implementation could change the pattern or that is less impacted? 
N. V. Kamakodi: I don't think any major changes in the usual pattern. The -- basically, what we expect is that the turnaround time should increase, and we should be in a position to process things more efficiently. And maybe if at all anything which is not seen by the naked eyes in terms of the financials, the LOS should be helping us to take that to reduce the slippage ratio also in longer run. So we don't expect any major change in the pattern as we have seen in the earlier quarters. 
Jai Prakash Mundhra: Right. Okay. And then sir, my question is on yield, right? So you -- in opening remarks, you mentioned that the rise in the yield is also because you have tightened the spread or -- sorry, you have done better bargaining power in terms of pricing, et cetera. But if I look at your MCLR, you seem to have reduced your MCLR in the last 1, 2 quarters. And then at the same time, you have effected a better, let's say, spread management. So how does this work together? 
N. V. Kamakodi: So I did not say anything what you started basically. What I said was that you had one interest rate transmission in the -- towards the end of the first quarter, whose full effect came in the second quarter. And whatever increase in the yield to happen quickly, it can be only by, what you call, RBI increasing the rates and that getting transformed -- and that getting, what you call, transmitted. 
 As I discussed with you all in the, I think, March quarter or 2, 3 quarters back,  we missed in transmitting, I think, 1 or 2 rate transmissions in the last year, which had some impact, and further hikes we have already transmitted. 
Jai Prakash Mundhra: Okay. No. So -- sorry, sir, this quarter, you -- the yields were better because you had better card rates or you managed to have better pricing power, or both? 
N. V. Kamakodi: That was rate transmission, which happened in the first quarter, which increased the overall yield. You can also interpret that we have a better bargaining power to have the transmission. 
Jai Prakash Mundhra: Right. Right. And the.... 
N. V. Kamakodi: See, how I view it is, if you incrementally bargain with each and every customer for a better rate, that is one thing. But when the rate actually increases and you want to transmit, the transmission happens for all the accounts together, that is when you see a better increase. But if you make a better bargain for incrementally, it will get larger time for the things to get transmitted and see results in the overall average yield. 
Jai Prakash Mundhra: Right. And sir, was there any impact? Because this quarter, we had negative net slippages. Was there any -- I mean, if you can quantify what could be the impact on interest -- I mean, NIM because earlier, we were -- on the live accounts, we were having net slippages and this quarter there is a net negative slippages. So is there any... 
N. V. Kamakodi: The difference is hardly, say, INR 30 crores, INR 40 crores. And it's not going to be very significant. And whatever we -- it's not that significant as you think, particularly on that differential interest part in the slippages. 
Jai Prakash Mundhra: Right. And last question, sir. I mean, we -- I mean, this quarter, of course, the net slippages have been negative, right? And the gross slippages are also coming -- are declining, right? Some of the other peer banks, they have had negative net slippages. They are running at negative net slippages, but we have done for the first time. Is there any structural changes in the recovery process, apart from what you mentioned in the beginning of the call of the timing and everything? But is there any other reason? And what is the underlying reason for the -- for confidence in sustaining this negative net slippages? 
N. V. Kamakodi: See, you have to. Particularly when you look at most of our peers, they had heavy slippages about 3, 4 years ahead of us. And in fact, many of them had even double-digit gross net -- gross NPAs and all, and their cleaning up process started much earlier because when an account slips into NPA, the -- there is a time delay at which you start recovering the money. 
 Normally, it used to happen, let's say, about 25 percentage gets recovered between the second and third year. But since many of the slippages for us happened during the COVID period, there was a delay, particularly in the DRP, courts action and other parts. And the recoveries are a little bit delayed. And similarly, the slippages have also started coming down. 
 So our getting into the case of positive recovery and slippages getting lower than the addition, we are probably about, let's say, 1 or 2 years behind many of our peers because they had much larger impact and much larger issues earlier and their recoveries and all started happening at least -- their cycle was at least 2 years ahead of us. And in fact, it had -- they had gone through the cycle, at least half the cycle, even before the onset of the COVID. And that's why this cycle has a difference between them and us. So whatever we are undergoing now, maybe they all had undergone about 3 years back or so. 
Jai Prakash Mundhra: Right. And we should be sustaining this trend of negative net slippages, right? That is the indication you have. 
N. V. Kamakodi: Yes, as long as we have NPA file available to recover. So this scenario will continue for another couple of years. When you will have the amount of NPA available for recovery will also -- will come down significantly. 
Operator: [Operator Instructions] The next line of question is from Aravind R. from Sundaram Alternates. 
Aravind R: Can we expect any further increase in rates pass-through? 
N. V. Kamakodi: Actually, like we -- our -- we don't expect any more hikes going forward. Even if with 25 percentage probability, if something is left out, maybe at the best 25 basis point. 75 percentage probability, we don't expect any rate hikes going forward. 
Aravind R: Okay. And I'm just asking this, if I have understood correctly. So the credit cost could be like at lower levels like for the second half just as how we have seen in the -- for the second quarter, right -- am I right? 
N. V. Kamakodi: Yes. 
Operator: As there are no further questions from the participants, I now hand the conference over to the management for the closing comments. 
N. V. Kamakodi: Yes. Once again, thank you all for participating in this con call. As you might have observed, finally, we have entered into a phase where the slippages have come down, recoveries have increased and the overall credit cost has come down significantly, the trend which we expect to go for few more quarters. Our ROA and other efficiency numbers have also come closer to the, let's say, our long-term averages and even better than whatever we had anticipated to start with. 
 Basically, the only thing which is left is the growth which we have to show for which the initial signs are visible. We expect this digitization and introduction of the LOS should also improve our efficiency in managing the things and we should have, as discussed, the double-digit growth of advances, mainly from the second half as we have seen in the earlier years.
 Overall, it looks like -- our expectation is that when the amount of NPA pool reduces and before this advantage from the credit costs evaporates, we should be having sufficient growth to take care of our profitability growth going forward with all the efficiency and profitability ratios intact. The -- yes, the -- almost, we feel -- I mean, things have come back to the normalcy, and we should be able to see much better numbers as we move forward is our expectation. With this opening remarks -- with this closing remarks, I thank you all for participating in this con call. 
Operator: Thank you very much. On behalf of AMBIT Capital, that concludes this conference. Thank you for joining us, and you may now disconnect your lines.